Executives: Barry Schneider - Vice President of Engineered Bar Products Division and General Manager of Engineered Bar Products Division Richard P. Teets - Co-Founder, Executive Vice President for Steelmaking, Executive Director, President of Steel Operations and Chief Operating Officer of Steel Operations Theresa E. Wagler - Chief Financial Officer and Executive Vice President Mark D. Millett - Co-Founder, President, Chief Operating Officer, Executive Vice President for Metals Recycling & Ferrous Resources, Executive Director, President of OmniSource Corporation, Chief Operating Officer of OmniSource Corporation and Director of Iron Dynamics Russ Rinn - Executive Vice President of Metals Recycling, Chief Operating officer of Omnisource Corporation and President of Omnisource Corporation Gary Heasley - Executive Vice President of Business Development and President of New Millennium Building Systems Fred Warner - Manager of Investor Relations
Analysts: Timothy P. Hayes - Davenport & Company, LLC, Research Division John Charles Tumazos - John Tumazos Very Independent Research, LLC Brett Levy - Jefferies & Company, Inc., Research Division Aldo J. Mazzaferro - Macquarie Research Sohail Tharani - Goldman Sachs Group Inc., Research Division Michael F. Gambardella - JP Morgan Chase & Co, Research Division Kuni M. Chen - CRT Capital Group LLC, Research Division Luke Folta - Jefferies & Company, Inc., Research Division Mark L. Parr - KeyBanc Capital Markets Inc., Research Division Timna Tanners - BofA Merrill Lynch, Research Division David S. MacGregor - Longbow Research LLC Evan L. Kurtz - Morgan Stanley, Research Division David S. Martin - Deutsche Bank AG, Research Division Shneur Z. Gershuni - UBS Investment Bank, Research Division
Operator: Good day, everyone, and welcome to today's Steel Dynamics Fourth Quarter and Full Year 2011 Earnings Conference Call. Today's conference is being recorded. Joining us today are Mark Millett, President and Chief Operating Officer, Steel Dynamics Inc.; Richard Teets, Executive Vice President of Steel Dynamics Inc. and President and Chief Operating Officer, Steel Operations; Russell Rinn, President and Chief Operating Officer of OmniSource Corporation; Gary Heasley, Executive Vice President of Steel Dynamics Inc. and President of New Millennium Building Systems; Theresa Wagler, Executive Vice President and Chief Financial Officer, Steel Dynamics Inc.; and Fred Warner, Investor Relations Manager. For opening remarks, I will now turn the call over to Fred Warner. Please go ahead, sir.
Fred Warner: Good morning and welcome to today's Steel Dynamics Conference Call for the Fourth Quarter and Full Year 2011. This call is being webcast live on January 25, 2012 from Fort Wayne, Indiana. Later today, you'll be able to replay the call from our website or download the call as a podcast.  During today's call, our management will be making some statements that are forward-looking. All statements regarding anticipated future results or expectations are intended to be forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements, which by their nature are predictive and are not statements of historical fact, are often preceded by such words as believe, anticipate, estimate, expect or other conditional words. These statements are not intended as guarantees of future performance. We caution that actual future events and results may differ materially from such forward-looking statements or projections that may be made today.  Some factors that could cause actual results to differ include general economic conditions, governmental monetary and fiscal policy, industrial production levels, changes in market supply and demand for our products, foreign imports, conditions in the credit market, the price and availability of scrap and other raw materials, equipment performance or failures or litigation outcomes.  You may find additional information concerning a variety of factors and risks that could cause actual results to differ materially from today's forward-looking statements. Refer to sections entitled Forward-looking Statements and Risk Factors in our most recent annual report on Form 10-K and in our quarterly reports on Form 10-Q, as well as in other reports we file from time to time with the Securities and Exchange Commission. These reports are publicly available on the SEC website, www.sec.gov, and on our website, steeldynamics.com.  Now to begin today's discussion, I would like to introduce SDI's President and Chief Executive Officer, Mark Millett.
Mark D. Millett: Thank you, Frank -- Fred. I'm sorry. I didn't -- in the lead-in there, I didn't realize I've only been on the job for 3 weeks and I was demoted already, but thanks for pointing out that I still am the CEO, Fred. Thank you.  Good morning, everyone. Thank you for taking the time to join us on our call to discuss SDI's fourth quarter and 2011 results. I will provide some commentary, which hopefully anticipate some of your thoughts and your questions, after which Theresa will present more financial color. We will then open up the call for our whole group here to answer your questions.  As virtually all of you know, this is my first earnings call in my new capacity as SDI's Chief Executive Officer. So before I begin my review, I think I’d like to step back for a moment and just offer some initial thoughts.  The call obviously signifies a milestone in our history. Since Keith, Dick and I cofounded Steel Dynamics in 1993, our company has seen considerable growth and considerable success. We have grown from a fledgling company to the fifth-largest steel producer and a leading recycler of both ferrous and nonferrous materials. Keith has obviously been the principal architect of these accomplishments. He leaves an enviable legacy, a broad foundation upon which I and the team can further build. As the great leader he is, he has made the transition smooth and very, very seamless, relinquishing the leadership of the company -- the direct leadership of the company. He has been readily available for us to seek his wise counsel when needed. I would like to thank him sincerely for that. Our styles are invariably our own, but Keith and I share the same values, the same vision for our company. Transition will be an evolutionary one, building upon the past while recognizing and adapting to the changing markets and the changing business environments that we see today.  The company's in great shape. Each time I tour any of our facilities, I leave incredibly energized. We have a passionate team that strives to be the safest, lowest cost operators in the world. Those of you that have toured our facilities, I think, would agree. We have always had and will continue to have a very, very special culture. It's this culture and esprit de corps that generates that differentiates us from our competition. It is this culture that drives the positive results, even in difficult economic times such as we saw in 2011.  Returning to the subject at hand, looking at our performance for both the fourth quarter and 2011 as a whole compared to 2010, we showed strong revenue and bottom-line improvement. Sales growth for both the quarter and the year exceeded 20%. Annual pretax earnings almost doubled. Fourth quarter net income was $30 million or $0.14 per diluted share on net sales of about $1.9 billion. And for the full year, net income increased a considerable 98% to $278 million, or $1.22 per diluted share on total sales of $8 billion. We believe this puts us in a position to maintain the leading operating margin position we established over our domestic peers during the first 3 quarters of this year.  While our fourth quarter operating income increased 76% over the prior year's performance, it was nonetheless down 24% from the third quarter of 2011. As we described, Flat Roll margins compressed quarter-over-quarter as pricing receded earlier in the quarter and was not matched by an equal reduction in raw material costs. Additionally, costs and reduced volume associated with a planned 3-week outage at Iron Dynamics reduced operating income by a further $10 million.  The OmniSource recycling divisions experienced typical seasonality, with fourth quarter ferrous shipments dropping 11% to 1.3 million tons. Fortunately, nonferrous margins expanded and more than compensated for the reduced shipments. Operating income for OmniSource was $16 million for the fourth quarter, an increase of $7 million over the prior year and an increase of $4 million compared to Q3 2011. For the full year 2011, operating income was some $95 million.  New Millennium Building products, our joist and deck operations, saw losses in the fourth quarter edge up a little but year-over-year, improved by almost $6 million when excluding the $13 million charge that we took in 2010. The shipments increased by 53,000 tons to total 218,000 tons, up 32% for the year.  [indiscernible] iron-making operations reduced our consolidated after-tax earnings by $10 million as compared to the $8 million loss in Q3. As we talked about in our previous call, the increased loss was somewhat expected as our inventory drawdown of higher-priced iron concentrate resulted in some anticipated margin compression. However, the declining pig iron market reduced selling values more than we had thought.  For the quarter, Mesabi Nugget shipped 53,000 metric tons, up 63% from Q3. But even so, production did not really meet our fourth quarter target. Having operated for almost 2 years now, we still struggled in December with some new equipment issues which carried into January. Such equipment problems, as you might imagine, are pretty frustrating for us as the process when operating with a reasonable uptime has clearly demonstrated its ability to run in excess of 1,000 metric tons a day or in excess of 75% of its design capacity. But frustration aside, we do continue to see forward progress there.  Again, as mentioned on our previous call and assuming that pig iron market does not deteriorate further and modest production gains are achieved, the financial impact of the Minnesota operations in total will remain somewhat constant until our mining resource venture is operational and lower concentrate is available -- lower price concentrate is available in the fourth quarter of 2012 later this year. Construction at the new Magnetation facility has begun and we anticipate startup late Q3.  Returning a second to 2011, I think as we pointed out in the press release, our operations recorded some notable accomplishments and I think it's worth restating them. Relating to safety, while the steel and recycling platforms both operated below their respective national average incident rates in 2010 -- when I say below, I mean better than national average rates, they further reduced their rates during the year. The steel platform reduced them by 21% and recycling reduced their incident rate by 38%; so my congratulations to all those involved. We are truly proud of the improvement but will not be content, not only will we lose focus, until we achieve our ultimate goal, which is 0 accidents across the company.  As we stated, our Flat Roll and Engineered Bar Products divisions both achieved record annual production in shipping volumes. Engineered Products continues to improve productivity and is the beneficiary of increasing market share, resulting from its exceptional quality, its downstream processing and a focus on superior on-time delivery and value-added products and just the general value that we give to our customers.  The Flat Roll mill has similarly gained market share as it ramped annualized production capability up over 3 million tons through a systematic expansion plan. With a good utilization at Roanoke, the Steel of West Virginia, the steel platform as a group posted record shipping volumes for the year. A phenomenal achievement, again, in a tough market environment. Engineered Bar Products and Steel of West Virginia both achieved record annual income for the year. Our metals recycling operations achieved record annual ferrous and nonferrous shipping volumes as we leveraged improving scrap flows through additional retail yards and increased shredder capacity.  In 2011, we opened or expanded 10 retail facilities to increase the proportion of high-margin retail material, and the shredder upgrades throughout our system increased process capacity by approximately 150,000 tons on an annualized basis. We significantly increased our market share of rail business. We shipped 117,000 tons in 2011, more than double that of 2010. Mill utilization saw progressive improvement through the year, increasing from 43% in the first quarter to 56% in Q4. In fact, if you look back to the first quarter of 2010, I believe our utilization rate was some 29% and quarter-over-quarter since then, we've improved that number. So great performance by the team. We see continued interest in our products. We target 180,000 tons of rail shipments for 2012.  Looking at Iron Dynamics, they produced a record 198,000 metric tons of liquid pig iron in the year, with the lowest cost structure achieved to date. Iron input there is 100% recycled mill scale and other steel mill waste oxides. The liquid pig iron there continues to contribute to the high productivity of our Flat Roll mill.  In fabrication, New Millennium Building Systems continue to provide a good baseload for the Roanoke Bar Division, helping it maintain an 85% operating rate for the year. Three new joist-fabricating facilities located in the South and Southwest were started up. They will provide geographically strategic market expansion and open up more national account business for us.  So once again, I'd like to stress the phenomenal job the team has done in a challenging environment as a continuing testament to our business model, our customer commitment, our innovative low-cost operating culture and our diversified product portfolio of value-added products. All of this puts us in an enviable position, I believe, to take advantage of improved market conditions as and when they occur.  Looking forward a little, we are seeing more positive market sentiment and somewhat improved market conditions in many of the markets we serve. Auto continues to be strong, along with energy, heavy equipment, trailer and agriculture. The nonresidential construction markets remained dormant although directionally, the recent 2 months uptick in the ABI numbers is positive. And I think, as Gary would attest, our order inquiry rate has picked up and would parallel that uptick. Related to the sheet market beginning in mid-fourth quarter, both order entry and pricing increased at the Flat Roll division. This should benefit the first quarter as we consume the lower-priced raw materials that were in inventory at the end of December.  We have maintained our backlogs to 4 weeks for coated products and between 2 to 3 weeks for hot band. Although recent MSCI data showed us normal December uptick, customer inventories still remain lean and in combination with the recent apparent demand should support pricing in the near future. However, there might be a short-term headwind as some additional capacity comes onstream in addition to possible import activity arriving late March, April and perhaps into May. And that's been attracted by the expanded spread between both domestic and global pricing of late. And I think although the spread is attempting to lodge buyers of hot band, I think consumers are still wary that given the volatility of the markets, they will be leaving themselves exposed and are more reluctant than they would've been in the past to place large orders.  Considering our own product business, both Engineered Bar Products and Steel of West Virginia have solid backlogs as their respective OEM consumers are still seeing strong demand. There appears to be a pent-up demand for cars and build forecasts are up year-over-year. Heavy equipment is still in good demand and freight is moving across the country. Trailer build forecasts are up year-over-year as deteriorated truck trailer and fork truck fleets are being replaced. The soft spot in our steel platform remains in the structural arena. Nonresidential construction continues to be in a state of malaise. The increased order activity seen in late December and early January has dissipated a little as consumers perceive a moderation in the scrap market ahead. Fortunately, I believe that the structural mill has benefited from the heightened interest in rail, which should further help mill utilization going forward.  Also worthy to note is that even with a utilization rate of only 49% in 2011, the structural mill achieved a positive pretax income, again a testament to our culture and highly variable cost structure.  Relative to raw materials, the scrap market as you've previously seen, experienced some confusion in January as the strong uptick in the anticipated $50 move in December and anticipated still yet in early January, dissipated and fizzled to perhaps $20 to $30 a ton as more supply was available than anticipated. Milder weather in November, December facilitated strong scrap flow and well-established inventories were liquidated in the January up market. Supply was further augmented by stronger imports, particularly prime grades. While supply strengthened, demand during the month was suppressed by a weak export market. You saw that the strength of the dollar relative to the euro made European scrap more attractive to Turkish buyers. Additionally, with an anticipated up market, we saw several consumers complete deals prior to the holidays, which took some steam out of the January market.  Moving into February, we have competing forces in play. Good mill operating rates coupled with low mill inventories ought to help support pricing, as should the recent strength in steel prices. Further, supply will remain healthy as export programs will most likely remain weak. Scrap flow continues to be fairly good and as reasonable inventory that the dealer-to-supply chain. Strong industrial flow and the low-price pig iron market will also tend to pressure prime grades through the month.  Although it's important to consider such short-term market trends, I think I'd like to emphasize that our focus is very much on the long term. Through the recent downturn, we've continued to position ourselves for the eventual economic return. Significant capacity increases have occurred at Engineered Bar Products and both the structural mill and the sheet mill. At the steel platform, we have over 1 million tons of steelmaking capacity that has yet to be fully exploited. In keeping with our entrepreneurial spirit, and that spirit emanates throughout our company, we will continue to assess opportunities for growth whether in new products, new technologies or new investments with a focus on enhanced, more consistent margins and additional top line growth having effective margins and returns. Leveraging existing facilities through capital effective organic growth will further our goals there.  But beyond aspiring to financial success and the appreciation of shareholder value, we recognize, I think, that that's not a strategy onto itself. It's just a result of who we are. Our success is going to be driven by the provision of quality products and exceptional value to our customers while we retain an innovative, entrepreneurial employee culture which is performing on a healthy financial translation.  So with that, Theresa, can you update us on our healthy financial foundation?
Theresa E. Wagler: Certainly. Thank you, Mark. Good morning, everyone. During 2011, our gross margin percentage improved 93 basis points. Margins and volumes generally improved in all areas. However, much of the benefit contributed from the Flat Roll operations was experienced in the first half of the year. This has been the trend over the last several years. Our year-over-year operating margin also improved. Excluding 2010 impairment charges, margins improved 132 basis points, caused by reduced amortization and improvements of 30 basis points in SG&A costs. Within steel, our annual average sales price outpaced increased raw material costs. Our operating income per ton shipped increased 36% from an average of $86 in 2010 to $117 in 2011. Non-U.S. sales were consistent year-over-year at 6% of total revenues. Over 50% of our exports are from our Mills Recycling division and most of that is from nonferrous.  As Mark noted, though we outpaced our 2010 fourth quarter results, when comparing to the third quarter of 2011, our gross margin percentage decreased 113 basis points, as Flat Roll margin compression occurred. Our operating income per ton shipped for steel operations declined $14 when compared to the third quarter of '11. However, our operating margin only decreased 88 basis points as reductions in amortization and SG&A also benefited the quarter. In addition, the maintenance of the submerged arc furnace at Iron Dynamics resulted in reduced quarterly pretax earnings of $10 million or approximately $0.03 per share.  Gross interest expense for the year was $179 million compared to $177 million in 2010, a $2 million increase in gross interest, while net interest expense increased $7 million due to reduced capitalized costs. Our fourth quarter effective tax rate was lower than originally expected. Including noncontrolling interest, the rate was 37.1% compared to our original estimate of 39%. This reduction benefited the quarter's net income by about $760,000. The lower rate was primarily related to a lower state income tax rate, which was recognized upon the completion of certain state filings.  Our annual effective tax rate for '11 was 37.4%, a reduction of 191 basis points compared to 2010. Given that there were several discrete items included in the 2011 rate, our current expectations for 2012 would be between 38.5% to 39%. You might have noticed that our diluted shares in the fourth quarter were also lower than usual. There seems to be a little bit of confusion about how that impacted EPS. We excluded the share impact of our convertible notes because the results would have been anti-dilutive. In other words, it would have increased diluted earnings per share. At December 31, there were 218.9 million shares of common stock outstanding, 8.6 million stock options and 16.4 million shares underlying our convertible note.  Regarding our cash flow, cash generation strengthened significantly during the year. Cash flow from operations provided $486 million of funds, an increase of $317 million over 2010 results. For 2011, working capital required about $80 million, but was neutral for the fourth quarter results as funding from the decrease in receivables related to our lower selling values are generally offset by increased raw material and supply inventories.  Our annual 2011 capital investments were $167 million, $75 million was spent in the fourth quarter. About 25% of fourth quarter investments were related to our copper rod and iron concentrate joint ventures. On an annual basis, approximately 31% were for our Mills Recycling operations, 20% -- 26% for steel, 15% for Minnesota and 14% for the copper rod joint venture. 2011 depreciation was $177 million.  Regarding our expectations for 2012, we currently anticipate capital investments in the range of $225 million. Over 60% of that could be spent in the first half of the year due to project timing. We also currently expect depreciation to be about $195 million and amortization of intangible assets to decrease to about $36 million.  Regarding our capital structure, we are very pleased with the execution of the partial tender offer for our 7 3/8% senior notes due in November 2012. As of the early tender deadline, nearly 40% of holders have tendered their notes, representing $278 million. We refinanced the tender through net proceeds received from the expansion of our senior secured credit facility in the form of a $275 million term loan. The term loan has minimal amortization requirements with the final maturity in the third quarter of 2016.  Expenses related to refinancing, net of interest cost savings are expected to decrease our first quarter 2012 earnings by approximately $10 million on a pretax basis. Given the more cost-effective nature of the term loan, we expect savings related to the refinancing of approximately $4 million in each of the second and third quarters of 2012, followed by a little over $1 million positive impact in the fourth quarter. We have numerous options regarding the remaining outstanding 2012 notes of $425 million.  At December 31, we had $476 million of cash on hand, driven by solid cash flows from operations of $486 million. Our low-cost highly variable operating structure supports continued strength in our cash flow generation. Additionally, we are taking advantage of the bank and bond markets historically as appropriate. We are continually monitoring our capital needs, our access to funds and the market environment and we will take advantage of the market as appropriate.  Our credit metrics during the year also strengthened. At December 31, we had no outstanding borrowings on our $1.1 billion revolving credit facility. [Indiscernible] the refinancing, we have liquidity of nearly $1.6 billion at December 31. Funds that were available to us after our minimum liquidity covenant were $971 million. Our ratio of total debt to trailing EBITDA improved from 3.7x at the end of 2010 to 2.8x. Our current net debt is 2.4x. Our interest coverage ratio also improved year-over-year from 3.8x at the end of 2010 to a current level of 4.9x.  Looking forward, our current 2012 cash allocation plan includes the ability to invest the $225 million in our existing and announced operations; it includes reducing a portion of our outstanding debt while maintaining sufficient liquidity for growth and for providing for cash dividends for shareholders. We believe the framework for strong cash flow generation, coupled with our strong capital structure has the flexibility to sustain our current operations and to support our future growth.  Lastly, for those of you who use the breakdown of our Flat Roll division shipments for your financial models, I'll now give the fourth quarter breakdown: hot rolled was 296,000 tons; P&O 98,000 tons; cold-rolled 30,000 tons; hot-rolled galvanized 98,000 tons; cold-rolled galvanized 58,000 tons; painted products 80,000 tons; and Galvalume 19,000 tons.  Mark?
Mark D. Millett: Thank you, Theresa. Well, Olga, we will eagerly await everyone's questions.
Operator: [Operator Instructions] We'll go first to Kuni Chen at CRT Capital Group.
Kuni M. Chen - CRT Capital Group LLC, Research Division: I guess just first off on Mesabi Nugget, can you perhaps give us a little bit more color on some of the equipment issues that you're having there? And if you look back to the last quarterly conference call, you guys gave a lot of detail on kind of your ramp-up goals for 2012 and some financial targets. If you could refresh us on some of those metrics, that would be great.
Mark D. Millett: Okay. Well the equipment issues, 2 principal issues. One, the product cooler, which is a very, very long large diameter cylinder cooled device that takes the hot nuggets and obviously cools it down to about 200 degrees. We had some steel issues there and it gave us a safety issue to be honest because we had a pretty severe overpressure. So we took some time to evaluate the process, the controls and ensure that was taken care of from a safety standpoint. Hopefully, that will not be reoccurring. And then secondarily, we had some premature failure, refractory failure, on the flue leading to the off-gas system. Again, that's been seeing operations for 2 years now. That material has been patched. We anticipate a shutdown in April to complete that repair. I think back in the last call, we suggested that Mesabi operations in general will -- or the financial performance will remain somewhat as they are today. First of all, improved on a cash basis, until the Magnetation operation comes online to provide the chief concentrate. That actually has begun. As I said earlier, construction has commenced and should be online here in the third quarter. With the Minnesota operations and Mesabi Nugget operating with a concentrate and is projected to be around about $50 in total, we would expect and do expect that the operations in total would be profitable. But one must remember that there's going to be some carryover in the fourth quarter of more expensive onshore concentrate. And so our results will not be substantially changed in 2012. As we said in the last call, though, 2013 is where the turnaround will be and profitability will more than likely occur.
Kuni M. Chen - CRT Capital Group LLC, Research Division: Okay, great. And just as one -- as a follow-up, can you remind us on your goals ahead as far as utilization rate and just remind us where you are with any outstanding permitting issues?
Mark D. Millett: We're projecting, again, subject to a lot of contingencies, I guess. But we're hoping for about 280,000 tons of production this year. From a permitting standpoint, obviously Magnetation has been permitted and construction's underway. The actual permit for the mine itself is still languishing. We would hope to see some link in the first quarter of 2013. But in honesty, your guess is as good as mine at this moment in time. But again, I think as we mentioned in the past, having Magnetation and the production of concentrate from that operation, that's more than a bridge to any of our own mining activities. That operation will be about 1 million tons a year. Outtake will be 800,000 tons, which is more than sufficient to supply the nugget operations.
Operator: We'll go next to Evan Kurtz at Morgan Stanley.
Evan L. Kurtz - Morgan Stanley, Research Division: You talked a little bit about some competing kind of forces here in the scrap markets. I was wondering if you could venture, I guess, for February estimates on the prime and obsolete?
Mark D. Millett: Well actually, I'd prefer to refrain from that, giving specific guidance there. Again, from a marketing standpoint, our folks are currently negotiating their own buys and their own sales. So specific movement, I prefer not to, other than I think the drivers I outlined, which suggests there is going to be moderation in February.
Evan L. Kurtz - Morgan Stanley, Research Division: Got it. Okay. And Nucor's out this morning with an announcement that they're going to put in another 1 million tons of SBQ/water rock capacity. The Dow's announced some capacity additions there. Just wondering what you were thinking along those lines. Is there any concern out there that maybe this market -- I know it's tight right now, could we get to a point a couple of years down the road where we run into oversupply?
Mark D. Millett: The supply-and-demand balance obviously will radically change if all those added capacity do come online. I think Barry and the team and Dick had outlined in greater detail that we've done a phenomenal job penetrating some very high-quality applications. We booked certification and approvals through the likes of Caterpillar and other heavy equipment manufacturers. And it will not be an easy -- well at least the short-term market penetration for that new competition.
Barry Schneider: Well, I agree. And you don't have to worry about the total supply coming onstream, but I guess I’d also like to think that each of the SBQ facilities, ours included, have a great flexibility and product capability. There's products that we don't currently make and that if it is oversupply, it would affect all of the SBQ producers. Each one of us will be looking to cascade into other products. And then it will become a -- well there are, let me just say, some weaker suppliers, leave it at that, that are going to have to worry about it. And I don't believe it will be the strong and efficient SBQ producers.
Evan L. Kurtz - Morgan Stanley, Research Division: Okay. And do you have a sense of just how much the actual market was in 2011 for SBQ's demand in the U.S.?
Theresa E. Wagler: I know that the tons that we produced down in Pittsboro at our Engineered Bar Products, that market tends to be, year-over-year, anywhere between 7.5 and 8 million tons. I can't speak for SBQ market.
Operator: We'll go next to Brett Levy at Jefferies & Company.
Brett Levy - Jefferies & Company, Inc., Research Division: First question relates to sort of a follow-up on SBQ and then second one is more about capital structure. Is there just sort of an inherent displacement of a lot of foreign SBQ that's been going on over several years? And do you expect it to continue and that would in some way accommodate some of this additional capacity?
Mark D. Millett: I think there's some truth to that. But I would tell you that there's an ongoing improvement in the build rates and so forth that is keeping pressure on us as suppliers and providing a lot of marketing opportunities.
Brett Levy - Jefferies & Company, Inc., Research Division: How far out is your order book for SBQ and MBQ right now?
Mark D. Millett: I would say well into the second quarter. It's a different type of market where we almost sell capacity and we have commitments from people and they sell them on a monthly basis. But we have a very strong backlog position in both of those products.
Brett Levy - Jefferies & Company, Inc., Research Division: All right. And then back to the capital structure. With the plans for the southern sheet mill now back burner-ed, it looks as if -- and a lot of your bonds coming to call dates, it looks like you have some decisions to make as to whether or not you choose amortizable debt or non-amortizable debt, whether you delever a little or whether you delever a lot. And then the last one was I noticed you didn't mention anything about share buybacks, just cash dividends. Can you talk about whether or not that's something you're thinking about as well? So I know that's a broad question, had a bunch of pieces to it, but can you talk around those points?
Theresa E. Wagler: Certainly, yes. Considering the deleveraging and the idea about projects, I never in my history here at Steel Dynamics have been able to necessarily keep up with all the growth plans that the guys have. And so I would anticipate that we're going to continue to grow. And so as we do that, we'll evaluate our needs. We do anticipate deleveraging somewhat during this year and that's to try to maintain a more -- a better, stronger cost of capital structure when going to the downturn. But saying that, I do believe that we will be having growth initiatives throughout the year. So whether or not we use amortizable or non-amortizable debt, I can't speak to that. We do have some callability of our notes coming up. We do have a very strong bond market now and as I mentioned earlier, we're continuing and we always have monitored those markets. So I feel pretty good about where we're at.
Brett Levy - Jefferies & Company, Inc., Research Division: And the last piece of the puzzle was share buyback?
Theresa E. Wagler: My comments on share buyback would be -- if it becomes investment return to the shareholders, that's obviously an option. But there's other growth opportunities for the company to spend the cash flows, and I think we would achieve something else.
Mark D. Millett: If I could add, as Theresa suggested, we always have been a growth company and we always will continue to be a growth company. And there are certain projects that internally, at OmniSource, they've done a pretty comprehensive overview of what they can do in certainly the organic and perhaps acquisitional, as Dick and the steel team have identified many internal growth -- capital effective growth opportunities. So I think you'll see that we will continue on a growth path going forward.
Operator: Next, we'll move to David McGregor at Longbow Research.
David S. MacGregor - Longbow Research LLC: I guess, Mark, last quarter, there'd been some reference on the call to the expansion at Pittsboro and the plans being put before the board for the SBQ operation there. Can you update us just on where you might be in terms of that expansion?
Mark D. Millett: I think the Pittsboro expansion is just, as I said earlier or just moments ago, one of several great ideas Dick and his team have identified in the steel platform. In addition, Russ, Gary, they also have some plans or some dreams. I think we are continuing to evaluate those projects across the company, but it's a matter of determining which projects will generate the best returns for the cash deployed.
David S. MacGregor - Longbow Research LLC: Can you say if the plans are still before the board or have you turned them down?
Mark D. Millett: The plans have not been put before the board and have not been turned down, therefore.
David S. MacGregor - Longbow Research LLC: Okay. Second question was just reflecting back on the price outlook from last quarter, it seems like the recent increases in prices are maybe a little stronger than your team had initially anticipated. So I guess the question is, just how sustainable do you think this recent upturn in pricing is given the current read-on demand, scrap pricing trends, et cetera?
Mark D. Millett: As with any prediction it's subject to being incorrect, but there does appear to be an improved underlying demand across the sectors that I mentioned earlier. Agriculture is still very strong. There really is pent-up demand on the order side. Energy is good. So there seems to be, across our customer base, not just a positive market sentiment but an actual -- an increase unto itself. So that would support, I think, continued market strength. The customer inventories across, whether it be in service center distributors, OEMs is still tight. And so any further pickup in demand will be a little more exaggerated as restocking or inventories get rebuilt a little bit. So that's very positive, I think, for the steel market in general. So the headwind, obviously, is a potential increase in capacity. RG, maybe you've got a few more tons that have come out of 2YK and you have a semi-cool operation ramping up of its caster. That will obviously in the short term, I think, give you a little bit of a headwind. But we're pretty bullish, mostly on the increased demand prospects.
David S. MacGregor - Longbow Research LLC: Can you just comment on the extent to which you may be seeing a discounting in the market right now?
Mark D. Millett: Well, I don't think necessarily we're seeing a great deal of discounting, I think from our perspective.
Operator: And next, we'll move to Shneur Gershuni at UBS.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: Most of my questions have been answered, so just a couple of quick ones. I realize that some things have been off. There are one-off items with Iron Dynamics this past quarter. But I was wondering if you can sort of walk us through the steps that you're taking to sort of improve the results there, in general. And maybe if you can also talk to, does capital redeployment change at all now that you are sitting as the CEO? Or should we think that the plans that were in place last year are still the plans that we should be thinking about going forward?
Mark D. Millett: You were breaking up a little bit there. I think the first part of the question was how we're going to improve our Iron Dynamics? In all honesty, they have been operating incredibly well. They continue to optimize the process there. And that cost was purely associated with, I think it was a 2, 2.5-week shutdown to replace the submerged arc furnace refractory. That refractory had been in operation for, I think, over 2 years or more. So that was just a standard regular shutdown and we wouldn't anticipate a lengthy shutdown like that for some time to come. So Iron Dynamics will obviously come around. The pig iron market at mill today is 480, 485. That may suppress their earnings a little bit compared to early last year but nonetheless, I think they will be very, very healthy for the rest of this year. To be honest, I don't think we caught the second part of your question.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: The second part was there -- are there going to be any shift in direction on capital deployment? Like given that you're now sitting in the CEO seat or like for example with respect to black beauty and so forth, or is kind of all the ideas that you laid out with us for us last year is kind of still the same course with that, that you're headed now?
Mark D. Millett: Well as I said, we first and foremost, we've always been a growth company and we will continue to be that way. From a standpoint of actual projects, no, we are evaluating everything internally. We're going to be focused on capital effective organic growth. Obviously, as I've mentioned earlier, we've got a lot of steelmaking capacity that is yet to be utilized fully. And we will be looking towards having to exploit that. And if you look at the structural mill, that ability is essentially nonresidential construction based. And part of the reason that it's -- doesn't have -- it's full of order book, perhaps, as our other facility, is that we have very little diversification market sector there. The rail obviously is helping that, and we will continue to look at the opportunities to diversify its markets. The organic growth, for sure, and we will continue to look at both greenfield and other opportunities as they come online.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: Great. One final question, if I may. It sounded like in your prepared remarks you were talking about a softening scrap market, but you sort of said that it's probably kind of short term and not to view it as a long-term trend. So how do you think we should be thinking about margins beyond the first quarter? Is it going to kind of look similar to the back half of last year and the real opportunity in earnings growth is going to come from volume and fixed costs absorption and sort of in expansion of specialty products? Or do you think that we can see a return to some of the margins that we saw in previous years past where scrap and the Flat Roll price kind of widened out relative to where it's been?
Mark D. Millett: Well, we -- I guess we're certainly optimistic for the start of the year. And at least right now, it appears to be that the cycle is going to be somewhat similar to 2011, with a good first half and who knows what the second half might be? But I think our focus internally is several fold. One is to expand the margin of our existing businesses. Obviously, the Mills Recycling arena has been under a lot of pressure last 18 months, 2 years, with compressed margins. And I think Russ is vigilantly pursuing improvement there. Russ, do you want to give them an outline as to some of the things you're doing to improve the margin there?
Russ Rinn: Sure, I'd be happy to do that. I think part of the issue, as Mark talked about in the call, was we've spent some much-needed funds last year in upgrading some worn-out shredder capacity we had, particularly in the Southeast. And as we bring that online, we think that brings us an additional 150,000 tons or so of additional shredding capacity at our existing locations. Again, certainly at a better cost not only for the throughput, but because they were older, worn-out machines. We continue to look at other opportunities, including some downstream separation that will start this year with the Recycling division. Again, taking more metals, more metallics out of our existing flows so that we can garner more from those streams as they come out of the shredders. And Mark mentioned also the retail expansion that we've done. Again, part of that is a cost reduction area for our own existing facilities because we take some of that congested flow out of them and put it in an environment that's much more conducive to customer service. And it also makes an area that is, I guess, conducive to even the soccer mom to come in and bring her bag of aluminum cans for recycling in a safe environment where it is much more user-friendly for her. So again, I think those and a lot of our focus on working on our costs from a top-to-bottom basis point, we think that will pay dividends for us.
Operator: We'll go next to Michael Gambardella at JPMorgan.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: I have a couple of questions. I know hindsight is always best, but if you are looking at it again today in terms of the Mesabi Nugget project, would you just put in a conventional DRI facility?
Mark D. Millett: I would not. I believe -- and again, Mike, if you look at the Minnesota operations as a whole and once we have the cost concentrate going to that facility, I think the profitability and the returns will be as we anticipated originally. It's a lot more forgiving in a flexible operation than a fully sort of integrated glass flask facility as well.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: And then just a question on the costs and the results coming out on Mesabi Nugget. I mean, we've had a pretty significant drop in natural gas costs. I would've thought that would've flowed through or helped the performance and we must be seeing some other extra overruns on the cost side. Can you talk about that?
Mark D. Millett: Well obviously, Mesabi Nugget today is running with a high concentrate purchased from the likes of Cleveland-Cliffs and others. That's purchased at market pricing, which is a lot higher than the sort of the premise of Mesabi Nugget originally. Also, coal is -- remains strong. The coal market pricing in Columbia is strong there. And the facility is more coal-based than natural gas based. Although we are seeing some benefits from lower natural gas costs, it's not a massive part of the cost structure there.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: Well, I mean if one of your competitors opted to go with a conventional DRI facility that's all natural gas-based, would they have a cost advantage over Mesabi Nugget right now?
Mark D. Millett: Right now, with the volume going through Mesabi Nugget, I would say a considerable advantage. But as we have compared operating expense and cost structures between Mesabi Nugget running at 500,000 metric tons a year, with concentrate coming from our own facility and we compare that with a DRI facility located here somewhere in the U.S., we do believe that the iron generated at Mesabi Nugget is going to be at a lower cost structure than DRI.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: Given the concentrate feed?
Mark D. Millett: Given the concentrate coming out of the ground at -- whatever, $49, $50 a ton.
Operator: We'll go next to Timna Tanners at Bank of America Merrill Lynch.
Timna Tanners - BofA Merrill Lynch, Research Division: I wanted to ask just on the lead times in the Flat Roll market in general. And how would you characterize, in addition, Sparrows restarting in the Midwest? We hear a lot about it here in the Northeast, but I was just wondering how disruptive you think it might be in the broader markets that you serve?
Mark D. Millett: I think with any additional capacity, even if it's not right on our doorstep, there is sort of a ripple-down effect. But correct me if I'm wrong, Dick, but we're not necessarily seeing any major impact here in the Midwest.
Richard P. Teets: No, I would tell you that even going back to last year, that their shutdown was actually at a very opportune time when the market was slightly softer due to seasonality and inventory control and end of the year issues. And then as we see the market improving and Flat Roll reentry, as well as some other capacities, I think it's fairly well timed. I honestly would tell you that I believe there's more chatter about that capacity than market impact. I mean, that's to be expected, but because it has a big nameplate capacity and it is, it's being realized at least not now.
Timna Tanners - BofA Merrill Lynch, Research Division: Okay, great. And then what -- how would you characterize lead times on the Flat Roll market and how much might they have changed over the last couple of weeks?
Richard P. Teets: Ultimately, since when the market took a slight dip at the end of December and then beginning of January, it's substantially improved and we're building our backlog and very comfortable with it. It gives us a lot of flexibility as far as scheduling and the value-added products that we actually specialize in are very solid and probably double in the backlog in duration.
Mark D. Millett: I think, Timna, we have maintained sort of our goal of 3 to 4 weeks of inventory. We -- even in great markets, will not delay much further than that. I would suggest though that the integrated mills, their lead times have stretched out with the increased automotive bill.
Timna Tanners - BofA Merrill Lynch, Research Division: That makes sense. Okay, last question for me is on head-hardened rail. I know you've talked about it over time, maybe partnerships and ways to get into that market. Is there anything new to update us on or does that fit into your strategic plans for CapEx spending?
Richard P. Teets: You're correct from the aspect that we have monies that are being discussed for capital improvements in that arena. Some of them are internally generated. We're running trials and have had some great successes, although not ready to deliver a full-blown commercial product at this time, but it's a developmental process. But concurrently, the team in Columbia City has been having ongoing dialogue with some potential partners in that arena and we will continue to explore those.
Operator: We'll move next to Sohail Tharani at Goldman Sachs.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Dick, staying on the rail, what do you think the standard rail market for you would be eventually? I mean, are you going from 117,000, I believe, to 130,000 tons in 2012? Do you think you have reached the limit where you think the market share you can gain or is there more opportunity there?
Richard P. Teets: Well, there is more opportunity there today and we believe there is developmental opportunity in the rail market for improved products. I guess to summarize things, we use terms head hardened and premium rail and sometimes interchangeably. For each customer, those are actually different definitions. There's different Vernell [ph] hardnesses that are required. Some are more achievable than others. And so included in that build rate I would tell you is not only an improved market share, but also some developmental opportunities.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Okay. And there has been an issue we have heard from in the past that the 260 or 240 for the land have been a less success than you had put in a cutting machine over there to cut it back in the 80 foot. I read somewhere recently that you had actually sold some longer length rails to, I believe, to the V&M facility in Youngstown, Ohio. So are you selling those longer length rails? Have you seen more penetration versus what we heard like last quarter from you guys?
Richard P. Teets: I would tell you that we continue to expand both our welded rail, which is extremely long sections. It's a 1,660 feet or so, depending upon what the customers order. That's been expanding, as well as the shorter-length rail, 240-foot lengths that we produce in and we do have a plan to go to 320 feet but we're not ready to execute that. Those are only really for internal use in our welding lines because there's nobody else that really has the capacity or capability to take anything longer than 80 feet into their welding facilities located around the country. So it makes almost no sense to make them long, cut them short and weld them long again. Hence, we're out selling our welded rail applications to as many people as possible.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Okay, great. One last question on -- Mark, you made a comment about New Millennium that New Millennium is providing a good baseload for Roanoke. I was just wondering, we have this issue with another mini-mill that the downstream business is under tremendous pressure because prices move up, but it does provide a baseload to the upstream of the mill business. And I was wondering if -- I don't want to use the word subsidized, but is that the case here also that you have to take some losses in the fabrication to run the Roanoke and others at a better utilization rate?
Mark D. Millett: Gary will expand on that, but, no, we don't believe in one platform subsidizing another platform style.
Gary Heasley: That's right. We've got a great working relationship with the folks at Roanoke. And between Roanoke and New Millennium it's been, I think both have done better working through tough markets by working together. But when you look at New Millennium specifically, if we were just running the 3 plants that we had in place 5 years ago, 3 years ago, we would've been making money this year. The decision to invest in that business and its up market may not be intuitive and obvious but when you look at where the business is going, our backlogs are up 62% year-over-year, joists up 15% with that. We've had sequential improvements from October to November and November to December again in bookings. So the investments we've made in these new plants, now we have all 3 of the new plants started up. They've been completely reconfigured. We invested a lot of money in those plants this year. About $5.6 million of New Millennium's loss was actually caused by the construction cost, reconfiguration costs and startup costs in those new mills -- or those new plants. So this does really sound more of positioning New Millennium to be successful going forward than it having New Millennium sell a loss in order to subsidize or support the mill. Nonetheless, the vertical tie in with the mill has been a tremendous advantage I think for both.
Operator: We'll go next to John Tumazos at John Tumazos Very Independent Research.
John Charles Tumazos - John Tumazos Very Independent Research, LLC: I want to follow up on a few of the earlier questions. And I know you emphasized twice already in the call, at least, that your emphasis is on growth. Could you elaborate on your attitude toward balance sheet risk? And just to take a couple of numerical ratios, your total assets divided by tangible equity is 6 divided by 1.1, where a common ratio for a manufacturing company might be 2:1 and your debt and other liabilities is about $2.4 billion, which is about twice your tangible equity of 1.1. And excuse me, I erase intangibles and goodwill. It doesn't matter if somebody buys David, Joseph or OmniSource near the top of the cycle and we don't use EBITDA ratios because we're not smart enough to figure out commodity prices reliably. So we like to look at the balance sheet. So could you talk about your attitude toward growth in the context of how far you would stretch your debt-to-tangible equity or assets-to-tangible equity ratios?
Mark D. Millett: John, I would suggest that we've been relatively prudent in the past and we will remain, I guess, conservative going forward and that there will be times when we stretch things when there's a very good strategic opportunity for ourselves. But I think we're approaching a capital structure today that we would like to maintain in the most part going forward.
Theresa E. Wagler: When you look at, I mean, I know you've suggested that you don't look at EBITDA. Unfortunately we do, as do most of our lenders. And what I would tell you is that we really want to stay under the 3x leverage through the cycle, so that's one of the things that we'll point to is what we're managing to. In addition to that, I know often in the past we talked about debt-to-equity ratios and where those were. I know you're talking about tangible assets as well and I understand why, but we definitely want to keep it so that our equity position is much greater than our debt position. And there'll be times when Mark suggested that we may need to get outside of those parameters for growth, but only if we know that there's the very reasonable ability to get back within those parameters very, very quickly.
Operator: We'll go next to Mark Parr at KeyBanc.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: A couple of questions. First, I was, I guess, pleasantly surprised with the improvement in profitability in the fourth quarter and it looks like the source of that was on the long product side. And looking at the nice improvements sequentially in beams, just wondering if you could give a little color about where those beams ended up? I mean are they specific projects, was it service center restocking? I mean, could you give us some more color on that?
Richard P. Teets: I would tell you the vast majority -- they were not major projects that were being supplied as we have in the past. These were basically, I think, just rebuilding some of the inventories not to excessive levels, but we have a good price. We have a whatnot and maybe tested a little bit spread between imports and domestically supplied and therefore, I think there was a little bit stronger market at the end of the year on the beam side and we actually had cut back on rail to supply to that. And now we're going forward with our new rail finishing facility and we'll refocus in this quarter on expanding our rail quarter-over-quarter.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: Okay. The rail mix that you guys expect in 2012, could you give some color on how much of your shipments you expect to be Class 1 material?
Richard P. Teets: The vast majority is Class 1 already. And so we look at what the exact ratios are from last year. I guess I'd say that last year, about 15% of the total shipments was industrial quality and that's the low-to-quality product. That's just marketable and we are focused on reducing that. Much of that was not due to the -- I mean, we never sell an inferior grade of rail into the market. So what causes a product to become industrial grade are items like the stamping machine failed to imprint on the rail. And there's a requirement of that. And so therefore because of that aspect, nothing to do with quality or the geometric shape, it becomes an industrial. And we still have been working through -- because we again, only roll rail occasionally, we occasionally have these fits and starts and develop some industrial but our mission is to eliminate that at the category of products. And so we don't plan for that in our forecast.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: All right, that's helpful. So actually I had one other question. Do you have a sense of what the mix is at Pittsboro between service center and OEM contracts?
Richard P. Teets: I actually don't. I mean, I don't get into that detail with them. I look at their backlog and the shipments and I never really looked at that.
Mark D. Millett: I think, Mark, the service center distributor outlook is around about 20%, if I'm not mistaken.
Richard P. Teets: There's a rule of thumb about that, but I don't know exactly what it would be, Mark.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: Okay, Mark, just one last thing. I don't know if you mentioned anything or if you did, I missed it. Will you be planning on updating quarterly guidance in March, just similar to how you've been doing it?
Mark D. Millett: Yes, we will continue to do that, Mark.
Operator: We'll take our next question from Luke Folta at Jefferies & Company.
Luke Folta - Jefferies & Company, Inc., Research Division: A couple of quick ones. We consistently hear, when we do our survey work in recycling space that because there's not a lot of flows -- incoming flows on the obsolete side, that recyclers are having to pay more to track material and that's had, in effect, compressed margins for recyclers on that side of the business. Since we've seen it pick up in flows here over the December-January time frame, I'm just wondering has that offered you any opportunity to reduce your buy prices and maybe get some of that margin back on the obsolete side?
Russ Rinn: Luke, this is Russ. I would say we continue to monitor the market. We're in the market everyday on the buy side and trying to monitor and read those flows as best we can. I don't know that I would say there's a huge opportunity. I think the market flow we saw, it started picking up late in the year and transferred over into January. A lot of it was a factor of pent-up demand or pent-up inventories that had been built up over November and December. So I think the flow side of it, while it was good, we also had what I would characterize as extremely mild weather, which allows those flows to continue. And if winter sets in, that's just going to shut them right back off again.
Luke Folta - Jefferies & Company, Inc., Research Division: Okay. And would you think that longer term there would be an opportunity there that as economic activity picks up and flows increase, that you should be able to restore that metal spread? Or do you think that's kind of a stretch?
Russ Rinn: Well, I think the possibility there, I think again, there's an awful lot of factors that bear on it, whether it's the level of the export market, which Mark referenced in his remarks earlier, the mill utilization rates and so on. I mean all of those things, I think, are going to factor into the flows and we're going to stretch every dollar margin we can get, as we always do.
Mark D. Millett: I think in the Midwest, in the Midwest, we have a pretty strong position. Where we are somewhat frustrated is in the Southeast area. Again, they compete with the export market pretty dramatically. And as you've suggested and we suggested in the past, the additional shredder capacity, a lot of that was built in the Southeast arena. That is where margins, at least for us, are compressed the most. And again, we will -- we're going to work very, very hard here this year to expand them. Are they going to get back to where they where in 2006, 2007? Probably not. Not in the near term.
Luke Folta - Jefferies & Company, Inc., Research Division: Okay. Last question, just got one for you, Dick. As it relates to the cost side, we're understanding that there's going to be some pretty significant increases in graphite electrode prices for next year. Can you give us a sense of what that magnitude might be and how do you expect that to impact your results?
Richard P. Teets: Well, we don't normally comment on it. I think it's in general that the electrode market is looking for improved pricing. But we have supply agreements in place with predetermined pricing that will languish through. I can remember when I was over Columbia City, we actually had a year's worth of electrodes on the ground during a good market because we were trying to anticipate things. And so I would tell you that it's only minimal. You won't even notice it in our financials, even from the steel side.
Luke Folta - Jefferies & Company, Inc., Research Division: Now it's because -- mostly because you have excess inventory or because you have a multi-year agreement?
Richard P. Teets: I think those are mitigating factors. And needless to say, just like in the steel side, people have announced price increases and then you have to wait and see. And there is actually quite a bit of import opportunities that keep a lid on that. And so we'll have to see where it goes. I'm going to try to validate a price increase. Our goal is to maintain our costs and improve them.
Mark D. Millett: And it think over the years, the team -- and to be honest, I've been the head of the steel side a little bit and don't know the granular detail, but if you look at our electrode consumption, it's around 3,000 ton a dollar during the quarter. Again as Dick said, it's not going to be a material change to us.
Operator: We'll go next to Aldo Mazzaferro at Macquarie.
Aldo J. Mazzaferro - Macquarie Research: This might be a question for Russ, kind of a high-level view of the scrap business. First, I heard your comments on how the flows are not helping you and the procurement expense is high. Going forward, assuming that those factors stay in place, are you able to derive a benefit of owning the scrap company by possibly transferring scrap into the steel mill at a more reasonable price? Or is there some level of contribution that we might be missing by just looking at the operating income of the division?
Russ Rinn: I think as Mark talked about earlier, again, there's no subsidies on either side of the equation. It's a market this year that the -- as the markets flow, so flows the cost of scrap to our own facilities. I think the one advantage that I think we do bring to our steelmaking opportunities is we do have a pretty extensive network of yards and facilities that we are able to secure the flow and make sure we've got the flow when we need it. And our objective, as always, as we said earlier is to do that at the best economical cost for our own OmniSource location, but also to make sure we're doing things that are necessary for the entire SDI corporation as far as making sure we've got low-cost metallics going into our plants.
Mark D. Millett: [indiscernible] as far as into the market and if you were to compare our inventories with OmniSource and prior, we have contracted inventory substantially with the -- and associated with that kind of working capital.
Aldo J. Mazzaferro - Macquarie Research: Great. And then, Mark, one other high-level question. This might be kind of really high level, but your plans to do the southern mill are on hold. There's also some talk in the market about possibly Thyssen thinking about selling its division down there in Alabama. Would that be something you might consider as kind of a buy and then build front-end strategy?
Mark D. Millett: Well, any opportunity we look at would be based on valuation and we wouldn't buy any opportunity that we would feel to be overpriced. And given what they've put into that facility, I can't see that being an attractive valuation for us.
Aldo J. Mazzaferro - Macquarie Research: I guess you'd have to assume that they're not going to get what they put into it, I guess.
Mark D. Millett: Even if they get 10 cents on the dollar, they wouldn't.
Aldo J. Mazzaferro - Macquarie Research: Okay. All right. The bidding starts, I guess?
Mark D. Millett: Just joking. But going back to the scrap question also, the one big benefit that you do have when you have that -- the secure supply scrap that Russ suggested, it gives you a big leverage when you're out there negotiating for other tons.
Aldo J. Mazzaferro - Macquarie Research: Great. Other tons of scraps, you mean?
Mark D. Millett: Yes. When you negotiate having a baseload allows you, as I think you recognize, scrap doesn’t sell at a specific number; it sells through a range. And it allows us to selectively pick off perhaps scrap at the lower end of that range and give us some financial benefit that way.
Aldo J. Mazzaferro - Macquarie Research: Do you think that's a sector that needs consolidation further?
Mark D. Millett: It certainly remains a very fragmented market. You still have a lot of small entities out there, Aldo. One has to be careful that the consolidation may help you on the one hand, but it's very, very easy for people to get into that business. The price of entry to set up a small corner yard is very, very low. So a lot of days, you need to be careful as to where you actually want to go.
Operator: We'll go next to Dave Martin at Deutsche Bank.
David S. Martin - Deutsche Bank AG, Research Division: I have a couple of remaining follow-ups, if I may, the first being on Iron Dynamics. Just thinking about the first quarter, should we expect an EBIT gain and/or benefit of approximately $10 million from that operation?
Mark D. Millett: Off the top of my head, I can't -- I would want to give you an actual figure, but obviously it's going to be improved. It depends to some degree on what the pig iron price does. It's going to be, as I said earlier, it's 485 NOLA today. That's lower than it was in the second and third quarters of last year. So there's going to be improvement. Whether it's a full $10 million or not, I don't know.
David S. Martin - Deutsche Bank AG, Research Division: Yes, okay. And then secondly, just had a follow-up on SBQ. I think you had said that your lead times for that product were into the second quarter. Going back to your comments on your last call, I think you also stated that your lead times were into the second quarter of 2012 at that time. So I'm wondering if I should interpret that to mean that your lead times have come up a bit.
Richard P. Teets: I would tell you that those are both accurate statements and it's not a concern of ours because it was such a robust -- and some of it being psychological, people were trying to make reservations that early and hence, we were accepting those commitments. We have only seen an improvement from our customers from last year to the projections for this year and it's not a concern that we claim that they were in the second quarter and not in the third quarter. And we really are expecting improved opportunities in 2012 over 2011.
Operator: And we'll take our final question from Tim Hayes at Davenport & Company.
Timothy P. Hayes - Davenport & Company, LLC, Research Division: Just a couple of questions. Mark, you have an expectation of shipment growth for steel ops for 2012 and if so, if you could put a number on that. Is it low single-digit, high single-digit?
Mark D. Millett: Again, we remain optimistic across all our markets, Tim. And we are projecting some growth, but I wouldn't necessarily want to put a number on it right this second.
Timothy P. Hayes - Davenport & Company, LLC, Research Division: Okay, that's fair enough. Then I'm jumping the gun a little bit on the mid-quarter update but last year's EPS of $0.46 in Q1, pretty strong comp. Any chance that you hit that or how far below might we be?
Mark D. Millett: As we said earlier, we'll come out mid-March to May.
Operator: And that does conclude today's question-and-answer session. I'll turn the conference back over to our speakers for any additional remarks.
Mark D. Millett: Well thank you, everyone. I just would like to thank you, each and every one of you for your support and also our customers that might be listening in. And then finally, a huge thank you to each and every one of our employees. You guys are doing a phenomenal job. Be safe out there and hope to see you soon. Thank you, all.
Operator: And that does conclude today's conference. Again, thank you for your participation.